Operator: Good afternoon, ladies and gentlemen, and welcome to today’s Fiat Group 2013 Third Quarter Results Conference Call. For your information, today’s conference is being recorded. And at this time, I would like to turn the conference over to Mr. Marco Auriemma, Head of Fiat Group Investor Relations. Mr. Auriemma, please go ahead sir.
Marco Auriemma - Head of Investor Relations: Thank you, Debra. Good afternoon and good morning to you all, and welcome to Fiat Group’s third quarter 2013 results webcast and conference call. The earnings release issued earlier today is available together with a conference call chart set on our website. As usual, today’s call will be hosted by the Chief Executive, Sergio Marchionne; and by Richard Palmer, the Chief Financial Officer. After the introductory remarks, we will be available to answer all the questions you may have. Before we start just on an housekeeping note, let me remind you that any forward-looking statements we might be making during today’s call are subject to the risks and uncertainties mentioned within the Safe Harbor statement on Page 2 of the presentation material. As always the call will be governed by this language. Also Chrysler Group LLC recently filed a registration statement with the U.S. SEC to register its equity securities pursuant to a contractual demand from the VEBA Trust. Under U.S. SEC rules we are not permitted to answer any questions relating to the registration statement or the IPO describe the theory. We would appreciate if you could respect this limitation and not asking questions during the Q&A session on this topic, as we won’t be able to answer these questions. With that, I would like to turn the call over to Mr. Sergio Marchionne.
Sergio Marchionne - Chief Executive Officer: Thank you, Marco. I’m going to spend a few minutes talking about some of the elements on slide three which are – which contains the executive summary of the performance in the third quarter and I guess some views about the future, certainly about 2013. I’ve had a chance to see some of the comments that are coming from the analyst community as a result of the issuance of the press release and I would like to at least clear up a couple of issues that appear have gone either unnoticed or misunderstood. We had a rather lengthy presentation today on the Chrysler Call on the industrial issues that Chrysler faced in Q3 of 2013 and I think we are all aware of the fact that there were delays in the launch of a significant product in the Jeep line which is now been resolved and cars are making their way at a pretty rapid clip into the U.S. dealer network. So that issue is an issue which has caused certainly a lumpy working capital build at the end of Q3, it’s worth probably about €0.5 billion in terms of net impact on debt for the - when I compare them year-over-year. And so that explains, that’s a spectacular performance in terms of cash flow generation of Chrysler. That – is that also an implication in terms of where the net debt position for Chrysler, for Fiat overall has ended up. And if you add on what I would consider to be the one-off unusual part of our capital expenditure profile which is a build-out of our Pernambuco plant which is worth in excess of €0.5 billion as of September 30 of this year. We’re looking at a combined impact on net debt to roughly €1 billion, a number that we should be able to absorb as part of working capital reversal in the fourth quarter of this year. Though some of the signs have alarmed that I have seen come out from the – at least the initial assessment of our leverage position I think are probably misplaced and I think we can provide color to the significance of those events as we go through the presentation. The other thing that I notice coming back in from the initial remarks is that somebody appears to believe that somehow we’ve changed guidance. And I think we’ve been incredibly and probably bias diligently in outlining our guidance at historical rates was how that was framed and what the impact of the 4X movements have been on that guidance as of the end of September. We are effectively confirming guidance within the Foreign Exchange limitations associated with the original forecast and in fact with the numbers that we are re-pitching now, incorporate the 4X movement and there is no significant change in guidance consistent we’ve done with Chrysler on the earlier call. We are relatively set aside with the development of the markets. There are obviously issues that come up in the third quarter which is somewhat discerned from the views that we express of our Latin America in the second quarter and which Richard will take you through as we go through the presentation and will come back to it if there are questions. We are encouraged by the improvement and performance in EMEA. I think the fact that we keep on reducing our operating losses in EMEA in this environment is a good sign especially in view of my own personal conviction that we will not see a restoration of healthy markets going forward either in 2013 or in 2014 I think we are looking pretty much over a flat line. We are at best, a very marginal improvement over current levels. APAC continues to perform well. I think that we’re also encouraged by the progress that has been made there. Enough has been said about NAFTA especially in view of the presentation that was done with Chrysler. We continue to perform as forecast and in line with the guidance as was given. The investments that we are making some of which are outlined here on slide three especially the further redeployment of the Mirafiori plant towards the production of an SUV which is finally been announced, that is being actioned as we speak is a further confirmation of the fact that we’re moving away and effectively we are moving away from the traditional utilization of our industrial assets towards the premium strategy which has been outlined earlier on our calls. The car that’s being added to the Maserati platform is a necessary ingredient to the filling out of the brand, I think it’s because of all the work that’s gone on with Maserati in the last three years this is the normal natural extension of its activity. I think we will be producing a unique vehicle which has unique attributes and which is consistent with the brand heritage and the positioning of the brand today. Well it’s not on this slide is the fact that we continue to work in the Alfa Romeo platform that something that I think we’ll be in a position to outline more fully when we put together this Investor Meeting which is now forecast for the first – the end of the first quarter of 2014 and which is going to be the occasion where I think we will give you an opportunity to look to the five year plan based on the thorough assessment of the brand potentials and not just in terms of Alfa Romeo but also in terms of the Chrysler, the other Chrysler and Fiat brands. It’s going to be an important day for us, I think we are in the – we started the dialog with the Board this morning about where we’re taking this business going forward. I think it will be an interesting, it will be interesting for two reasons. One is I think you would be able to see in some higher level of detail than we’ve provided so far a delineation of the premium, of the premium brand strategy and some of the timings associated with the execution of that strategy. But equally important I think you’d be able to see what we’re doing from a geographic expansion standpoint. My instinct is to hold the meeting in Latin America is I think that is EMEA, that is rather misunderstood, that is sufficiently far away from most people view where we keep on getting a lot of noises from that region and that what performance would look like in 2014 and 2015 going forward. And I think you need to see Fiat and Fiat Chrysler effectively setup an industrial infrastructure to try and deal with the shift and demand that we’re – it is now becoming visible in the marketplace in which has been a missing part of the product portfolio in that region now for a number of years. I’ll make one comment other than the fact that we obviously have finalized all the partnership arrangements in terms of the financing activities of both Latin America and Europe and that was the conclusion of the deal sometime there that we’ve done in NAFTA we have a complete footprint to try and deal. With the financing side without having the Fiat or Chrysler commitments on capital sales activity. As Marco said we’re going to refuse to make comments about the (S1) other than the fact that we filed that we are in the process now of clearing comments with the commission. It’s a process that I think we’re going to work at diligently. The only thing I can tell you is that I think it is my sincere hope that we’ll be able to execute the IPO within 2013 and I think the machine is ready to get it done I think we’ve done all the necessary work, all the necessary speed work to get this issue on the road and hopefully we’ll get it done before the end of this year. I really have nothing else to say, I rather than wish Richard good luck in trying to explain the quarter to announce suspecting public brand.
Richard Palmer - Chief Financial Officer: Thank you. Moving to slide four, revenues were up 1% or 8% at constant exchange rate with growth for our Mass Market brands in all regions except LATAM which constant exchange was down slightly. Strong performance by Luxury brands was driven by the Maserati brand, net of €80 million of negative currency translation in the quarter, Group trading profit was in line with prior year of €816 million. Net income came in at €199 million versus €171 million last year and also improved for Fiat excl. Chrysler which reduced losses by €37 million to €247 million. The €0.8 billion decrease over June end in total available liquidity reflected €0.4 billion of negative cash flow from operations, net of CapEx and financing and €0.4 billion in negative currency translation. Moving to page five on the lower part of page five, EBIT as mentioned totaled €856 million for the quarter compared to €830 million for Q3, 2012 restated for IAS 19 with the decrease in trading profit more than offset by lower unusual expenses and improved results from investments. Regionally EBIT declined in NAFTA and LATAM with decreases further accentuated by unfavorable exchange while EBIT improved in APAC and EMEA both continuing the year-to-date trend of year-over-year improvement. Luxury brands were up strongly by €42 million mainly due to more than two-fold improvement in volumes at Maserati. Other & Eliminations improved due to the non-repeat of some unusual last year and improved results from investments. Moving to page six, we’ve already gone through most of the metrics on here, so let me give you some points on a few items to the P&L. Financial charges for the quarter were €489 million compared to €464 million last year. Net of the positive contribution from marking-to-market of Fiat stock option related equity swaps there was a €48 million increase over the prior year mainly attributed to higher average net debt levels and exchange rate impact. Consolidated income taxes totaled €178 million for Fiat excluding Chrysler. Income taxes were €71 million and primarily related to taxable income of companies operating outside Italy and employment-related tax in Italy. Slide seven shows the drivers of the €1.6 billion increase in net industrial debt mainly driven by seasonal factors. For Fiat excluding Chrysler of the cash using operating activity driven by the seasonal Q3 working capital swing represented €0.1 billion improvement over the prior year offset by the increasing capital expenditure of €150 million to €1 billion for the quarter driven by Pernambuco investments were €220 million. For Chrysler the €1.3 billion positive contribution from operating activities before working capital represented improvement of €0.4 billion over the prior year which was offset by negative working capital performance net of lower CapEx. At Group level the industrial EBITDA positively contributed in the quarter by almost €2 billion, 7% higher than Q3, 2012 and finances, charges and taxes absorbing €0.6 billion. Capital expenditures were €1.8 billion bringing CapEx of €5.3 billion for the nine months of September nearly 70% of the total spending expected for the full year. Full year CapEx is still expected around €8 billion. Change in working capital was negative by €1 billion of which €0.6 billion related to Fiat’s excluding Chrysler consistent with its Q3 seasonality of the European market and production levels and €0.4 billion for Chrysler due to the shipment hold of all-new Jeep Cherokee. Both impacts are expected to reverse in Q4. Investment, scope and other includes the consolidation of VM Motori in the life of the recent announcement for the acquisition for 50% stake from GM completed in October and investments in RCS. Moving to slide eight, the Group continues to facilitate historical commitment to sustainability in fact Fiat launches first Environmental Report in more than 20 years ago and is now at its ninth Sustainability Report. Since 2011 sustainability is a joint method for Fiat and Chrysler. Conducting our business with sustainability [front-in center] had been rewarded by the confirmation by two of the most internationally recognized sustainability rating indexes, the Dow Jones and the Carbon Disclosure project. On slide nine there are few examples of our commitment to sustainability. Moving forward to slide 11 look at the Mass Market brand business by regions starting with NAFTA where trading conditions were again solid through the quarter. Shipments for the group were flat year-over-year partially reflecting the lack of the Jeep, mid-size SUV supplies. U.S. dealer inventory was steady at 63 days of supply remaining in relatively low levels. Regional revenues were up 2% or 8% in U.S. dollar term. The drivers of the trading profit and EBIT (work) shown on slide 12. EBIT change benefited from minimum volume growth, better carline mix as well as more retail versus free shipments contributing €129 million. Pricing was also positive driven by vehicle content enhancement on recent launches in part reflected in the industrial cost which increased by about €500 million including key product launches and costs associated to the delay in the commencement of shipment of the new Jeep Cherokee to Q4. Unfavorable FX translation impacted by nearly €30 million. The U.S. industry for Q3 shown on slide 13 was up 9% versus the prior year. The Group performance is substantially in line with the market posting an 8% increase in sales, this September marking a 42nd month of year-over-year sales gains. Retail sales were up 16% with retail and retail market share up 50 basis points to 10.7%. The fleet mix reduced from 24% to 18%, our lowest level. In Canada Q3 industry was up 6% versus prior year. Group share stood at 14.3% mainly driven by the strong performance of the Dodge Dart, Ram and light duty pickups and Chrysler Town & Country. Moving now to the LATAM section on page 14, the quarter was characterized by decline in the overall industry driven by Brazil and Venezuela despite growth in Argentina and other countries. In particular Brazil experienced a tough comparison with last year which had benefited from the introduction of the sales tax incentive on IPI late in Q2, 2012. The trend in Venezuela was impacted by political and economic uncertainty which drove a 24% in market demand. Group shipments were down 13% versus a year ago with growth in Argentina and other markets unable to counter the decline in Brazil. Inventories remain stable at one month in supply at quarter end. Group revenues in the quarter increased 17% or 3% at constant rates decreased 17% or 3% in constant rates. The trading reduced from €341 million to €165 million in the quarter which was impact also by unfavorable effects impact of €30 million trading margin were 6.7%. Slide 15 shows the drivers behind the operating performance a decline in volumes and a less favorable market mix impacted negatively for €87 million. Industrial costs were higher due to inflation impacts on input cost and a less favorable production mix. Also the spending related with Pernambuco Project started away on the industrial cost. Net price was slightly positive thanks to continued disciplined pricing behavior. Moving to slide 16 the industry for passenger cars and LCVs in Q3 2013 was down 3% to 1.5 million units mainly as a results of the 10% decrease in Brazil with last year’s peak however up 5% versus Q3 2011. The Group sales in the region declined 15%. The market share in Brazil was down again exceptionally strong performance in 2012 when the Group was able to react faster than competition to the increased demand. Group products continue to performance well supposing our continued market leadership up 300 basis points ahead of the nearest competitor in the quarter. Moving now to APAC on slide 17, regional demand was driven by continued growth in China partially offset by a weaker Indian market. Group shipments were up 73% and revenues were up 50% primarily driven by Jeep, Chrysler and Dodge. Trading profit increased more than 30% and €96 million or 8% trading margin with an improvement partially offset by negative impact from FX. Moving to slide 18, the impact of higher shipments contributed to an improvement of nearly €140 million in EBIT increased industrial costs were negatively affected by higher R&D and manufacturing costs related to the new product initiatives and increased volumes. The SG&A increased to support volume growth and continued regional expansion. On page 19, Group sales including JVs were up 92% out performing the regional industry which grew 7%. The Group outpaced all markets where it competes with the exception in Japan where our sales were in line with market growth. Performance in China was driven by the Fiat Viaggio and continued strength of the Jeep brand. The new product line up launch in India grow sales up 34%. Turning to page 20, the passenger car segment EMEA improved slightly in the quarter showing a reversal in trend after seven quarters of negative performance although with mix trends across the region. The LCV segment also had a similar trend. Shipments were up 4% overall with growth driven by a 6% increase in passenger cars. Inventories remain stable at two months of supply. Revenues were slightly higher and trading loss continue with this type of environment being about 30% reduced compared to a year ago. EBITD growth for EMEA on page 21, shows positive contributions for all areas except for the net pricing which reflects still difficult trading conditions in the region representing a €30 head wind in the quarter. Higher shipments that makes some continued pressure on industrial cost as well as procurement savings and disciplined SG&A spending all contributed to the positive, to the improve performance. Mass-market trends for EMEA on page 22, the industry for EU27+EFTA was up 3% with UK and Spain leading the increase while Germany and France were both down 1% and Italy was down 3%. Group sales decreased 3% with the share losses in EU27+EFTA countries reflecting the performance in Italy as a result of the good position not to engage in value distracted price competition. Outside Italy the share remains stable thanks for the gains in Spain, France and the UK. Slide 23 deals with the business dynamics for the LCV segment. The industry for the quarter is flat year-over-year, Group sales remain stable at 39,000 units. Share gains in Italy and UK were unable to count the declines in France due to the timing of renewal for Group’s fleet contract and Germany driving to a 30 basis point share loss in the EU27+EFTA. Moving to slide 24 we review the performance of luxury brands. Ferrari remains committed to the strategic target to maintain 2013 production the prior level to preserve brand exclusivity. Revenues in the quarter were up 6% with 12 cylinder models up 72% and 8 cylinders down 21%. Despite strong demand shipments in U.S. were capped to 4% growth. The trading profit increased 16% to €88 million posting 150 basis points improvement in trading margin to 16.5% reflecting better sales mix and contributed from licensing and personalization programs. Revenue for Maserati were 2.4 times higher than a year ago on the back of nearly 4,000 shipments with the increase driven by a strong performance of the New Quattroporte. Trading profit came in at €43 million or over three times last year’s level with a nearly 10% trading margin 260 basis points higher in Q3 2012. Maserati’s new products are gaining momentum the New Quattroporte collected nearly 10,000 orders at the end of September while the new Ghibli just launched achieved nearly 8,000 orders. Moving to page 25 to Components business as a whole was basically flat year-over-year trading profit level not withstanding a moderate decline in revenue. The business in Magneti Marelli had substantially flat revenues or 4% higher at constant rates. The trading profit stood at €29 million slightly improved trading margins 2.1%. Teksid revenues were down compared to a year ago due to the decline for the Cast Iron business slightly offset by a 16% volume increase for the Aluminum business. The trading result reflected the business trend. Lastly Comau not withstanding declining revenues through the €4 million improvement in trading profit benefiting from the improve performance of its body welding operations. Focusing on business environment by regions starting with NAFTA on page 27, the Ram brand had another strong performance thanks to the significant new fresh products resulting in an 18.4% share on U.S. large pickup segment up from 13.5% in 2010. Further more Ram is enlarging its product offering by entering the commercial Ram segment with the ProMaster which already achieved 4,000 shipments since launch. Jeep sales in Q3 were flat in NAFTA primarily due to the lack of the Liberty/Cherokee sales in 2013. Cherokee shipments have been delayed into Q4 for the need to update the software calibrations on 9-speed transmissions. In Q4 the Jeep grand Cherokee started offering the 3 liter EcoDiesel the cleanest diesel engine in the Full-SUV segment. Moving to page 28 Brazilian economy projected to keep growing despite increased uncertainty due to the 2014 elections. The graph on the left hand of the slide shows historically erratic behavior in the quarterly Brazilian GDP change. Inflation is in under control, unemployment forecast remain at or above its 10 year historical lows. Consumer confidence although currently under pressure is expected to return to normality and disposable income is expected to continue to grow. Also important the overall credit operations in Brazil as a percentage of GDP continue to increase supporting future development. Page 29 shows the breakdown of the 25,000 unit sale increase in APAC. The Fiat brand contributed 12,000 units thanks to the Fiat Viaggio the Jeep brand reached its 16 consecutive growth in the region with a 6,000 unit increase and 5,000 unit increase was contributed by the Dodge Journey. Slide 30 deals with EMEA taking a closer look at the focus and realignment of the Fiat brand product portfolio in Europe which continues to yield results. The Fiat 500 has remained in the top three modeling segments in 2007 and its currently holding the segment leadership for two consecutive quarters in 2013 in a increasingly competitive A segment. In the quarter the Fiat 500L achieve leadership in the Small MPV segment with a nearly 19% share just 12 month after its introduction. The new models have now expanded to the line up with the 500L tracking available throughout Europe in Q3 and the 500L Living launch in September. And now move the slide 31 to review our expectations for the market demand through the end of 2013. For NAFTA we have slightly revised that was the industry outlook for the U.S. market to 15.8 million units, cars are projected to grow by around 6% and trucks by 8%. In Canada the full year 2013 industry is expected to be inline with prior levels at €1.7 million. The industry outlook for LATAM has been reduced with demand now expected to perform inline or slightly down with 2012. In Brazil the full year market is expected to reach 3.6 with an - year-over-year comparison projected for Q4, Argentina should continue to perform well also Q4. The industry outlook for the full year in APAC remains unchanged partially, sorry, projected to increase around 6%. For EU27+EFTA the market outlook has been revised up slightly form the prior forecasted result of improved prospects of passenger cars. Italy has confirmed the 1.3 million units. The outlook for the European LCV segment is expected to decline around 5% versus last year’s level with Italy contracting the most among the major market. Slide 32 deals with the Group shipment expectations for 2013 NAFTA should around 2.2 million units, LATAM is expected at similar level to last year about 1 million units, APAC should almost double to about 0.2 million units and EMEA should remain flat versus the year ago around 1 million units. Slide 33 deals with the revised guidance for 2013 reflecting the exchange differences has been revised down due to the exchange rate movements through the first nine months of the year. The revenues are expected at around €88 billion compared to €84 or €88 billion range of current exchange rate. Trading profit in the €3.5 to €3.8 billion range compared to €3.7 to €4.2 billion range of current exchange rates. Net profit around €1 billion and net industrial debt in the €7 to €7.5 billion range.
Marco Auriemma - Head of Investor Relations: Thank you, sir. Now we can get stared with the Q&A session. Debra please go ahead.
Operator: Thank you. (Operator Instructions) We will take our first question from Richard Hilgert of Morningstar. Please go ahead. Your line is now open.
Richard Hilgert - Morningstar: Thank you. Good afternoon everyone and thanks for taking my questions. On the industrial costs in NAFTA I'm assuming that large swing there was mostly attributable to Cherokee launch the delay. Going back overtime I'm looking at quarterly slide backs going back and industrial costs have been negative in that region negative in Brazil, negative in APAC and one time in the first quarter of 2012 there were positive in NAFTA but for EMEA each quarter its been positive. I'm wondering what would it take to turn the negatives on the industrials costs aside from the major Cherokee problem in the quarter? What would it take to turn those industrial costs positive for the rest of your operating segments outside of EMEA and how does that industrial cost column change as unit volume comes back and we get into nascent recovering in EMEA?
Sergio Marchionne: So I think Richard talked about the individual region so as we discussed on the Chrysler call Richard in response to similar question you raised. Obviously NAFTA is bearing the brunt of the investments in extra ships and the inefficiencies in the supply chain and the management of the capacity running over a 100% utilization. All those costs are included predominantly in NAFTA and therefore that is driving a good piece of the industrial cost another piece as you mentioned the vehicle launches and the another significant piece also is the extra content that we have on the new vehicles that we’ve launched in the last six to 12 months. So all those factors are impacting industrial costs impart those are being offset by the pricing in NAFTA for the new product but not all of that because of the fact that we are in the launch process of these vehicles. In Latin America the negative impact on industrial cost is principally due to inflation which is a part of the environment in Latin America and that is being managed with as much rigor as of as we have in EMEA in terms of managing cost through world class manufacturing etcetera but the fact is there is a significant component inflation in Latin America which impacts our operations every year. In terms of Asia Pacific we’re investing in that region to a company the volume growth and the new product introductions and so. We’re also seeing big volume improvements and those need to be finance if you wish with investments in our product side. So I think going forward clearly we have opportunity in particular on the NAFTA side as we work through the normalization of the industrial footprint as we’ve been discussing on the last few calls as the product renewal cycle comes to a more normal cadence and also the supply base gets up to the level of capacity we need to run out with these new shift and extra capacity going through the system.
Richard Hilgert - Morningstar: Okay about the guidance the revised guidance being lower than what you put in for the change column where you say range at current exchange rates. Does that mean then that the revised guidance is taking into consideration a further negative impact for exchange rates beyond what the current exchange rates are, is that why it’s lower?
Sergio Marchionne: In part but in reality obviously we are firming up the guidance also based on our trading performance in the last nine months. So there is being and compared to our original guidance on the Chrysler side we said 3.8 at the beginning of the year then we move 3.5 to 3.8 in June 3.3 to 3.8 in June so we’re being a little more prudent on that guidance in consistent with what we did in Chrysler in June.
Richard Palmer: The answer to your question is that there is no there is nothing reflecting in guidance in the Forex sign there is no visible year-to-date. I hope, does that answer your question? There is no, there is nothing that is forecast in the guidance that suggest that the foreign exchange will shift again in fourth quarter to change the averages year-to-date.
Richard Hilgert – Morningstar: Okay I guess what I'm getting at is that on the, on slide 33 for example you’ve got under trading profit you’ve got the revised guidance column you got the changed column, in the changed column you’ve got from 4.0 to 4.5 then you’ve got the 3.7 to 4.2 at the current exchange rate but the revised guidance is below what the current exchange rate is its 3.5 to 3.8. So it looks like you are going down more so than what the currency effect is in your change in the revised guidance, do you see?
Sergio Marchionne: Yes Richard its true and they reflect some of the trading performance through the first nine months of the year.
Richard Hilgert – Morningstar: Okay.
Richard Palmer: The revised guidance is our view for the year now. If you were to go back and look at the change which reflects the historical guidance adjusted for foreign exchange rate. Our current guidance is within the limits of the revised original guidance which is now adjusted for foreign exchange shift which goes back to what I said we have not moved guidance because it’s within the brackets where we originally said we will be achieving reflecting and assume the exchange rate at the time.
Richard Hilgert – Morningstar: Okay.
Richard Palmer: So once I go back and take a look at that those two bullet points of guidance and I adjusted them for the shifts in foreign exchange the current guidance that we give you is within that range. So we have moved nothing.
Richard Hilgert – Morningstar: Okay. And then last just one of the follow up on the shift over to Maserati product. You’ve got the Ghibly that’s currently being launched the SUV that you’re working on for (indiscernible) coming up in 2014, wondered how those programs are progressing on track ahead of schedule, delayed works at also on the orders you’ve got the large order books that’s built up. I wondered if you could talk a little bit about what your expectations are on the operational ability to get those orders filled what’s the timing on that being able to happen?
Richard Palmer: I think the plant is now running through shifts and given the labor intensity of the process itself it is not typical of the traditional installation. We’ve always been public with the fact that sort of the nameplate capacity of the plant is between 50 and 60,000 a year so they can produce those. So there is nothing that we know that will prevent us from being able to cycle of that, the cycle of the plant and effectively get rid of that backlog in a reasonable timeframe. These are luxury goods so the distribution of these orders across the network has got a lot of built-in leeway in terms of time, expectations from the customer base. Its very, very different from the mass-market a small different in looking at the order book for Ferrari which is some cases I’d say two years long people will wait to get their vehicle. The Maserati is fortunately enough around that category obviously the knot is – the timing is not as long the indulgence the customers will give Maserati as not as long as they would give to a Ferrari but it’s similar. And so I see no problem in terms of getting our plants to deliver and effectively clear the background and you will see, we’ll take a look at that number again at the end of December and we should measure it against shipments made because obviously the objective is to try and keep that backlog as open and as large as possible for about the life of the product. So I sincerely hope that we will not see a substantial deterioration in the backlog as of the end of December we’ll just be able to replenish it with new orders. So I have nothing bad to report in that issue I think it’s a little defined and I think its inline with expectations. I mean I'm encouraged by the way, by the profit performance of Maserati in the third quarter. I mean this is a plant that is still sort of going through growing pains in terms of capacity and the launch of two vehicle in a relatively short order. So, I think the margin performance is appreciated as I think you can do a lot more in the ways on which we made the investments in the front.
Richard Hilgert - Morningstar: Okay and the launches status?
Richard Palmer: The launch status of the both cars are launched and they are in distribution mode now.
Richard Hilgert - Morningstar: Okay and Ghibly is at your volume expectations running at your volume expectations now?
Richard Palmer: The order book clear the production side isn’t.
Richard Hilgert - Morningstar: Okay.
Richard Palmer: They’re still tuning up the order is coming in and that’s the car by the way that I think is probably going to have the widest appeal because if its price positioning and its size. So we have a lot of hope for the Ghibly the Ghibly is certainly receiving some very good reviews both in terms of the specialized path and in terms of the customer base. We will do especially one in China and I think in the U.S. so we’ll see what happens.
Richard Hilgert - Morningstar: Okay. Great, thank you.
Operator: We will take our next question from Martino De Ambroggi of Equita. Please go ahead. Your line is now open sir.
Martino De Ambroggi - Equita: Thank you good morning, good afternoon everybody. Two issues one on the industrial side and one on the M&A side. On the national side focusing on lack on if you could provide us an update on what is your guidance for or target for the current year following Q3 results, and still on LATAM I understand this is not the right moment to ask you anything about next year. But ex-currency effect do you believe to be able to recover a lot in terms of operating profitability or you see something that does structurally changed in the LATAM which can avoid such recovery (indiscernible)?
Sergio Marchionne: Let me give you an answer for the second part of your first question. I - as Richard mentioned in his comments about Latin America we’re living through a period of uncertainty in Brazil which is very untypical what we have seen out of Brazil certainly in the last six to seven years and I think it is some of it is related to the 2014 election coming on. Its history for us and certainly in the year of elections the conditions are created for markets to especially on the financing side to try and facilitate first. As I do not expect the market will deteriorate I also don’t think that 2014 is going to be, I think it will be up on 2013 but I do not think there is going to be phenomenally higher than the current levels. I don’t think anything has happened structurally to the business itself other than and this, I made this comment on the Chrysler call – I had a chance to spend about a week time in Brazil recently like last week and I think that I walked with one further confirmation of the fact that there is fundamental shift in the portfolio the needs that we offer to Brazil as the purchasing power of the middle class keeps on improving. And I think that the investment that we started making in Brazil back in 2010 the new plant on Pernambuco is an absolute necessary expansion of both capabilities and offerings to the Brazilian market. I think that when the plant comes on in 2015 we will be getting the right side of the market because that demand is there we are seeing encouraging signs of development of the higher price vehicles in brazil and I think we need to complement the work that’s currently going on and that (indiscernible) which is continue to focus on the A&D segment in a very significant way. I'm also encouraged by the work that has been done on the prior development site of the A&D segment I think they will be able to launch, in short order some significant product improvements in both area I think we should leave the details of all this when we get together for our Q1 2014 presentation where we have the kind of portfolio. But I do not think the market itself is going to go through a radical change in the foreseeable future and I think its inline with what have always been our expectations for the development of that market.
Martino De Ambroggi - Equita: Okay for the current year the full year…
Richard Hilgert - Morningstar: Yes sorry it’s Richard. In terms of the fourth quarter its going to be lower than last year so and the second half of this year is going to be lower than the first half given the trend we’ve seen in Q3 we’re tracking it on a monthly basis every second of the market is a little nervous coming up to the election next year.
Martino De Ambroggi - Equita: Yes that’s great. Thank you. On the M&A issue without making any reference to the IPO process. I was wondering if there is any step ahead in the negotiation for the remaining shares not including what is involved in the IPO process. And the second part of the question is if you are planning any divestitures in relation to the Chrysler deal that will maybe happen sooner or later? Thank you.
Sergio Marchionne: Lets deal the easy stuff I'm not selling anything and nor do I think we need to do so. The other, the answer to your first part of your question as I mentioned in my opening remarks we are now bent on executing the IPO its so nice petition that we will be able to get it done. I hope that we can get it done by the end of this year. So, to the implications of this nothing in parallel going on with anybody. Well the horse left the barn so let’s keep on tracking.
Martino De Ambroggi - Equita: Okay. Thank you.
Operator: We will take our next question from Kristina Church of Barclays. Please go ahead. Your line is now open.
Kristina Church - Barclays: Yes it’s Kristina Church from Barclays. Two questions from me. First I know you comment on the SEC document but – you changed your wording in it on one of your products from a new product to significantly refreshed product. And I was just wondering not in reference for the document but generally what’s the cost differential between a brand new product and a significantly refresh product? And then, sorry.
Sergio Marchionne: I have $1 billion in capital.
Kristina Church - Barclays: Okay thank you. And then my second question is you’ve on got a very high level of net liquidity right now. What do you see as a normalized level is cash burned on business do you still say it’s about 20% of revenue?
Richard Palmer: Yes it’s probably 15% to 20% of revenues.
Kristina Church - Barclays: Thank you.
Operator: (indiscernible) cut off.
Richard Palmer: Operator? Alberto Villa is in the queue now. Okay.
Operator: Yes we have a question from Alberto Villa of Intermonte. Please go ahead. Your line is open.
Alberto Villa - Intermonte: Hi good afternoon. I have a couple of questions the first one is on EMEA cost efficiencies. I was trying to wondering how much of these cost efficiencies you are gaining and that are allowing you to reduce significantly the losses in Europe or structural (indiscernible) and so figure out in the event of the capping demand how much is the operating leverage or if some of the cost efficiencies would we have to consider the temporary. So if you just can give us an idea on that side would be helpful?
Sergio Marchionne: Yes look I think it’s very, Richard made reference to the fact that we refuse to engage in value destructive and he told the value destructive pricing practices which is a very elegant way of describing price bashing in the market place. I think one of things that we have refused to do is to engage in commercial practices that have two objects. One, is to effectively remove the brand of any type of value and secondly a running pricing such a way with what we price everything on the last marginal unit that have been produced and in fact in destroying the underlying base of our pricing strategy. In order to get that done we have obviously refrained from doing everything which is fundamentally unnecessary in the business. It is very difficult to tell today I mean if you’re here to ask me, how many of these costs will actually turn back on us the market came back to a blowing position. I think some of them will – some of the saving and some of these differences in practices will stay. I think you’re going to see a ramp up a significant ramp up of other cost when the machine goes back on. And as I said earlier I don’t think its on the 2013 or 2014 event. But I think you will see around up across certainly on the marketing and positioning side of the brands and the distribution the cost will go up. But in that particular point in time hopefully pricing will be sufficient will be able to absorb the increase. But I will not suggest that we have done anything drastic in terms of removal cost which are endemic nobody can in an environment which is as played at the European market especially Italian market by lack of volume. So I, we’re going to be religiously jealous about this in terms of throwing the cost structure back on that somebody is in my view probably more than half of the savings will have to come back on at some point in time to justify commercial activity. Hopefully we’ll be looking at an economic mode that’s substantially different from the one that we’re facing today.
Alberto Villa - Intermonte: Thanks that’s helpful. The second one is just a curiosity the timing of your presentation of the forecast for the next five years many things might happen in the coming weeks and months with Chrysler stake eventually going public or not and so on. So I was wondering if that’s not I mean something that could impact your forecast that on the five year plan so if…
Sergio Marchionne: If you’re right there is one more justification to hold it at the end of Q1 of next year.
Alberto Villa - Intermonte: Okay.
Sergio Marchionne: By then all those smoke would have cleared.
Alberto Villa - Intermonte: Sure. Thank you.
Operator: We will take our next question from (indiscernible) of Merrill Lynch. Please go ahead. Your line is open.
Unidentified Analyst: Hi just a quick question. Can you confirm that your CapEx guidance for 2013 is €48 billion?
Sergio Marchionne: I hope you said €8 billion because if you say 48 the answer is no
Unidentified Analyst: I said 8 billion.
Sergio Marchionne: 8 billion.
Richard Palmer: Yes.
Unidentified Analyst: Okay thank you.
Operator: We will take our next question from Charles Winston of Redburn Partners. Please go ahead. Your line is now open.
Charles Winston - Redburn Partners: Yes I'm Charles Winston for Redburn Partners. I just want to go back to talking about Brazil and Latin America if you don’t mind. I'm surprised about your comments about credit price as a percentage of GDP I'm talking about they’re being the supporters of growth. At some point does that not become a concern and I was sort of wondering what point that would be in other words credit price as a percentage of GDP historically in the recent past hasn’t been all that good for a number of other economies. Secondly could you just give us a facing on the costs of the new plant opening there when will we start seeing for the peak, how opening costs and just the cost schedule of that ramping that would be useful. And just finally I guess a wider comment just on Brazil you talked a number of points about the demand side, the supply side has changed in terms of new entrance some of them pretty aggressive from South Korea and Japan, we’ve moved from the market that’s been an export, net export market that’s being a net import market. I'm again slightly surprised about your comment saying you don’t think there is anything structurally changed in Brazil when, I'm sorry forgive me, I think quite a few things has structurally changed particularly more on the supply side and the competition side then they be necessarily the demand side perhaps just share some of really on your comments and thoughts there. Thank you.
Sergio Marchionne: There is no denying there we have seen, we have seen new entrance in the Brazilian market and its something that we have always acknowledged as being one of our forecast assumptions in looking at market share and performance of the Latin American business. What you describe is aggressive from new entrance in the market place is we can debate it still though we think that the behavior of the new entrance is unnecessarily aggressive. I think that when you look at what I call the establish three top players of, in Brazil which is ourselves, Volkswagen and General Motors. We have the collection of the three have a long history of presence in Brazil and when you look at a capacity within those systems there is not a single doubt that there is marginal capacity left in our competitors and there is not a single doubt in my mind that we have zero marginal capacity left in ours. And so the issue that we face about how to develop our Brazilian activity really have to do with that we did in terms of the product portfolio and whether we continue to focus on what its been the historical strength of Fiat in that market which is in the A&B segment has been the heart of the success for the brand going back in 1970s. And I think that the thing that has changed is that the volume assumptions that we run in front of us will eventually deliver volumes around the €4.5 million mark which is the number that I’ve talked about in the past and which I think has been delayed in terms of delivery but I think its certainly possible in the next five or six years. The problem with the €4.5 million number even if I'm wrong in terms of the overall size if it’s anything that over €4 million is what is the composition of the €4 million and in what areas of the market of Fiat in its present configuration play in. And the answer is that it can’t because the market is developing in a way very effectively it has over run the present architectural capabilities of our plan in Belo Horizonte. And so we, in our view we have to create the alternative, we have to defocus not necessarily from the profit standpoint but we have to defocus my concentration on the A&B segment by creating alternatives in the higher end and I think the plant in Pernambuco which hopefully you will see in 2014 is an indication of the language the market itself are seeing for shift from an offering stand point. The other thing that you need to realize is that when you look at the historical numbers of the performance of Fiat in Brazil and you compare them to their relevant competitor class. One of the biggest safeguards, there are activities they had begins with the competitive classes is the cost structure of what we run and better we run. And we have historically always run these businesses at a significant spread to the best available competitive class. And to the extent to the market is efficient in terms of product and offerings even in the Mass Market side you’re going to see whatever shift you’re going to see in margins in our business has got a consequential margin shift which is almost a scale shift on to the competitive class. And so if I lose, if I go from double-digit margins to single digits that shift is going to be reflected basis point by basis point to the margins of others. In a equilibrium environment that will happen and I’ve seen nothing in terms of what is available on the marketplace from other new entrants or the current established producers in Brazil that would suggest that Fiat will lose that advantage against the competitive class. The most significant bet that we’ve taken and is not inconsequential as that had already been helped by what you call relatively unhealthy financing arrangements which I don’t think are necessarily true because 85% of the investment in Pernambuco is effectively being financed by – through a set of government arranged financing structures which together with a set of tax incentives that made the payback of that investment probably the most reasonable payback that I’ve ever seen in my career in this business all with investment of that size. So the bet that we’ve taken is that the market will develop in that area and that we’ll have sufficient volume to try and deal with that demand. I’m not negative as some people are or what the mid to long-term performance of Brazil ultimately is going to be. We’re going to let through peers of volatility as some of the political uncertainties in Brazil crystallize and they got walked away by the electoral process but fundamentally the underlying economics are in good shape. And I would not read too much on this availability of credits in the consumer side is being the driver of growth, it is no different than the kind of availability that is present in U.S. market in an efficient environment today that is what is fundamentally driving a lot of the consumer purchase in the U.S. because of low interest rate. So I don’t overbuild that case by suggesting that a market has been brought or induced into unnecessary purchases that was true that the margin retention for the producers will be a lot more squeezed than it is today. Richard may have some information on the cost of the project if he is willing to share I don’t know whether he is or not.
Richard Palmer: Charles, that the timing of the cost will be through 2014 the beginning of 2015 as we train obviously that the new workforce that we need to have in place for the launch of the first vehicle in 2015. I think we can give you a bit more guidance around the entity of those costs when we meet in the beginning of next year, but there will be a way towards the second half of next year and the first half of 2015.
Unidentified Analyst: Okay, sure. Thank you for that.
Operator: We will take our next question from Stephen Reitman of Societe Generale. Please go ahead. Your line is now open.
Stephen Reitman - Societe Generale: Hi, yes, thank you. Two questions, comparing the order intake at Maserati looking at the H1 presentation and the – latest nine months or Q3 results particularly with the quarter report I think it looks like we’ve gone from about 8000 units since launch which was the – given for I guess end of June to 9900. How is that in line with your plans and certainly with the Ghibli it was over 2000 orders I think at the end of June and 7900 at the end of September. How does that compare to your annual production sales target on that vehicle? And secondly looking at Fiat in the United States there was quite a sharp contraction on the 500 in September, you did talk about you’ve had a lot of consecutive month over month growth there, you got a 500L there but the brand is still down, what are you telling your dealers about what is coming up and what is the profitability looking like – have gone specifically on Fiat? Thank you.
Richard Palmer: Well for the year we’re looking at Maserati volumes I think we’re looking at a number around 15, 15, just north of 15,000 units. And I think the order intake that you’re talking about is consistent with continued growth on that number going into 2014. I think to some extent we’re going into new territory for the brand so we will see in the next three months how the Ghibli gets received in the marketplace, but obviously the early indications are very positive given the order intake.
Stephen Reitman - Societe Generale: Right.
Sergio Marchionne: And I would expect by the way when we get together for our Analyst Call and Analyst Meeting 2014. To take you through in more detailed view on Maserati and volume in business not necessarily in the (indiscernible) basis but in terms of what the brand can do at maturity, which is probably about three years away from today.
Stephen Reitman - Societe Generale: Understood.
Operator: (Operator Instructions)
Sergio Marchionne: On the flip-side, yes, yes look we have – when we launched the 500L in the U.S. there was not a single doubt in our mind that we will be sound while impacting on the 500 because of the largest size of the vehicle and the fast that it has a number of attributes that the original 500 does not have. What we’ve been telling the American dealers and I think you will be confirmed by sorts of issues ahead of the Fiat brand in the U.S. is that there is a car coming out of the Italian operations in 2014 which will augment the offering – there is a two, the 500X which is the CUV for Fiat that will be coming into the U.S. markets by the second half of 2014 and we will continue to build on that success, the success of the 500D expansion of the product ranges into the L and to the X. There is also a lot of work that’s going on the inside of Fiat, then you will be in a position I need to outline this later about what the success and effectively what we are doing for the 500 to keep the product alive in a significant way in the global market. The issue with the Fiat Theaters and I made the comment, I think that it was clear, when we started this franchising activity back a couple of years ago. One of the things that we want to see is so the best of the best perform of the Fiat brands so that when we approach the U.S. with the Alfa introduction subject to Fiat and Chrysler resolve into distribution terms of that agreement, that we will, that the, the best performing Fiat Theaters will be the one that will be entitled to have a crack at the Alfa Romeo distribution and that’s something that I think given what I said earlier about what we would like to talk to you about in Q1 of 2014 as best reserve for that time. I think our intentions are unchanged from the way in which we approach the distribution network in U.S. and I think we’re confirming today that subject to Fiat and Chrysler resolving issues relating to distribution of Alfa that, that strategy will be executed throughout 2014 and anticipation of products that in the 2015.
Stephen Reitman - Societe Generale: And given the fact that the as you mentioned the 500L is maybe called on the phase of it is more suited and the size to the American consumer. Do you predict that the 500L will eventually outsell the 500?
Sergio Marchionne: Difficult to tell. Certainly our internal expectations for 2013 and 2014 do not make that call.
Stephen Reitman - Societe Generale: Understood. Thank you.
Operator: (Operator Instructions) We will take our next question from Jochen Gehrke of Deutsche Bank. Please go ahead. Sir your line is now open.
Jochen Gehrke - Deutsche Bank: Yes, good afternoon, just two quick ones. One, coming back on Brazil, it’s just a quarter, but as a – in response to the Q3 reporting and looks as if the American competitive of - U.S. have performed significantly better in LATAM. And do you see anything in the market?
Sergio Marchionne: I don't know about that because I haven’t done the translation into euros, but I saw the numbers flash on my stream this morning.
Jochen Gehrke - Deutsche Bank: Okay.
Sergio Marchionne: I’m not sure that…
Jochen Gehrke - Deutsche Bank: At least in terms of cap..
Sergio Marchionne: I’m not sure that will mature early off, number one, and secondly I don’t think that they have those start-up costs associated with a new plant in Pernambuco. But subject to those adjustments even if we assume that we perform even-steven there is an area of concern because I think it certainly blows the whole material, but the distance and basis points and margins between ourselves and the next guy. So we’re going to study those numbers very, very carefully as soon as this call is over because we need to understand how that happened.
Jochen Gehrke - Deutsche Bank: Okay maybe then jumping on to the second part. I think now it’s been a number of years where they’re not just on a stand alone basis and appreciating the one-time aspect of your bet increase. But Fiat on a relative basis against most of your global competitors is one of the most leverage entities. And while you are struggling to generate cash flow pretty much most of your competitors are currently highly cash generators and therefore much more in the position to continue to invest in the business and even in areas where from at least your perspective it doesn’t make it on a sense like in EMEA. Why should we not be afraid that if this gap continues to widen that with the current net debt position of Fiat your competitiveness is getting structurally impaired?
Sergio Marchionne: For one very simple reason the amount that’s less in terms of the investments of the investments that you’re making reference to post decision to postpone investments in EMEA the number is the best marginal. So I really wouldn’t worry about impairing anything unless you’re suggesting that the strategy of moving upscale of Maserati – in pending expansion into the premium brand with Alfa is born, is effectively born with a structural flaw and therefore would require a write-down thereafter. But I'm not sure that we’re talking about significant impairment with any assets that are left over and you got to remember that the most significant investment that we’ve made in the last five years on the European side has been the introduction of the Panda and (indiscernible) and that brand is performing well. We have refused to invest and renew any of the other product lines in our midst because of the inability to recover never mind the cost of capital but just recovering capital exactly for the point that you raised the rewarding impairment charges which would have become inevitable going forward. The general comment that you’ve made about us being excessive leverage, we’re going to have a lot of discussion about what the profit capital structure is if you compare to our competitors. That’s not, and there is also another single doubt that we do have a large amount of that which is also probably the large amount of liquidity which is unusual for somebody in our position. We were born with a different capital structure than most others. And I agree with you that we have not generated sufficient cash out of the current business to try and out of the mass-market business to try and justify having an optimistic view of the future or Fiat involved in the mass-market. That is a view that I have by the across all the competitors in the mass-market side its not just the Fiat view which is a reason why we have slowly but surely kept on defocusing the mass-market from the EMEA side of operation and try to build an industrial strategy that matches the brand development of two of the brands within the fold which have gone so far unexploited and which are capable of internationalization. That process started and it’s by far not complete. And I think you will be incredibly premature and undoubtedly unwise to start forecasting impairment of capital yet to be committed if you adopt that you may have the relative success of the strategy of repositioning the Fiat as a group, all the Fiat as a group. And so I would wait before I sort of express the final view on this, especially view of the numbers that have been released by Maserati as an initial indication of the relative success of that strategy that we’ve outlined. But it doesn’t take away from your fundamental contention about the fact that we are levered more than most but the different I think between us and anybody else was played historically in the mass-market and that’s something that we’re trying to leave behind because we realize that it’s some incredibly unrewarding activity. It’s unrewarding in terms of not just pricing its unrewarding in terms of recovering capital and the cost of capital associated with that commitment. We cannot do this anymore and so I won’t. And which is the reason why we’ve attracted a sufficient amount of criticism from I think spectators and other people alike on the wisdom of the strategy. The reality is that we have to protect the house and the only way to protect the house is to move the sandbox and replace somewhere else. The sandbox today in Europe is completely over crowded and I’ve seen nothing and I repeat this category we have seen nothing in terms of industry movements in Europe that will suggest any level of optimism of our performance in 2013 or 2014 regardless of what you hear from anybody else. We live in a market place everyday and some of the pricing practices that I’ve seen across Europe are things that I’ve never, ever seen since I came here in 2004. So this cannot continue nothing is going to have to give and it’s not going to be Fiat.
Jochen Gehrke - Deutsche Bank: Alright, thank you.
Operator: We will take our next question from Philippe Houchois of UBS. Please go ahead. Your line is now open.
Philippe Houchois - UBS: Yes good afternoon. Two questions from me. Can you clarify, so you’re telling us IPO this year process is on the way they’re fine can you confirm that you’re tougher scenario is that you and not only 100% of Chrysler and therefore you are preparing to internationally preempt on IPO decide your process as a price discovery mechanism in your mind. Has this changed or not?
Sergio Marchionne: Philippe I will never make the second statement in view of the first part of your statement which confirm my intention of (indiscernible).
Philippe Houchois - UBS: Fair enough. The other question I have is if I follow up on this question finding more leverage we know that etcetera, now in the past and first before you and not under you the way she had delivered is by with no negative working capital requirement in fact you, its like an iceberg you reduce the debt but you massively increased the debt to suppliers. So you’re basically transferred debt from one side to the another. And you are not the only one like this pressure running with the same situation so at one point something that are given you to deliver some selling assets or raising capital in the similar run rate?.
Sergio Marchionne: Philippe, hold on to your horses for a moment.
Philippe Houchois - UBS: Alright.
Sergio Marchionne: Your answer – welcome to the car business to begin with like a substantial portion of the financial structure of any car maker is definitely to continue to work up for working capital position which is fundamentally in steady state market the fundamental element of the capital structure. It’s a way then which the business runs which by the way also has a negative consequences of maintaining larger amounts of liquidity around to try and deal with a boomerang when the loads drop issue number one. Issue number two, the boomerang can only happen if you have a reversal of the demand function effectively start shredding down the production capacity of the system. I know of nothing else that I could have done to shutdown the production capacity of the system in anticipating, in anticipation of lousy market conditions. A lot of our production facilities today are running at historical lows, in the event of, even in the case of the Panda which is still a successful car in the segment volumes are not where they need to be given where demand is across Europe. The massive plans is in the process of being we convert it not to trying the both the Jeep and the Fiat CUV that are coming to market in 2013. We have the Cassino plant there which no commitments have been made and we have the Mirafiori plant which is around (indiscernible) because its only making the Alfa Romeo MiTo. So its not as if I got a large volume coming through the machines that are creating, negative working capital position supporting my capital structure. I cannot get to your answer because I’ve done all the clean up to myself that I already do. I can’t do anymore. I think it slash my wrist but it will be unhelpful vis-à-vis the capital structure. I'm not the guy that use to really worry about, anybody who is now running an industrial machine they may have to stop is going to have an incredible boomerang on the other side that will be incredibly painful but its not the EMEA operations of Fiat that will suffer that fate.
Philippe Houchois - UBS: I don’t disagree with you at all. I'm just looking the – you’ve been more conscious about excess capital spending than anybody else in the industry and that’s good. At the same time you’ve been vocal about excess capacity you talked about it more than anybody else probably etcetera. Today you have the worst excess capacity probably in Europe and you are doing the least without it compared to even (indiscernible) GM, Renault and forth.
Sergio Marchionne: Philippe let me tell you something. When you have $100 worth of available demand and you got 200%, $200 worth of available supply the only thing I could have done to worsen the situation is by turning on additional capacity to make the number larger than 200. So if I play the game that you suggested and I’ve been in the market like everybody else has and has invested equally to the competitors and I present the products fighting for the same market for which the current market participants are having a phenomenal difficulty in trying to acquire. We would have only made the situation worse. My investment which by the way has been redirected and not postponed as selective strategy whereby the mass-market presence of Fiat is going to get seriously sequentially in a very disciplined way reduced overtime. Whatever capital I need to spend I need to spend on premium brand for which I have a higher level of certainty that they will have commercial success at a price. They cannot be done by continuing to repeat the historical mistakes that we’ve made here and I will not allow Fiat to do it. I just won’t. So regardless of what everybody else thinks about whether we have or not, we are spending €8 billion worth of capital across the organization. That is not chicken money. On the one side I keep on being attacked of what we’re spending in the U.S. and on the other side I keep on being told that I'm under spending in Europe I got it. But the investment to me is absolutely fundable and it’s absolutely transferable. I don’t particularly where I invest in the architecture as long as I invest in it. Once I have that architecture established and installed it can be replicated on the fracture of the cost anywhere else. The issue is who can afford that installation. Is it EMEA or is it some other part of the Fiat world can carry the burden. And if the answer is that some other part of the Fiat or the Fiat world had the other part carry it. But I cannot keep on fooling myself that Europe one day is going to wake up and make money at the other side of the channel it won’t. And by the way just to remind you last year four of the large European mass-market including Fiat lost $8 billion at operating level in running new operations. And I don’t know of an industry I’ve been in banking they can take that kind of punishment and survive into the long term.
Philippe Houchois - UBS: Yes I don’t think I'm suggesting what you’re saying I'm suggesting I'm just trying to draw you somewhere you probably don’t want to go to is the fact that you have not addressed the excess capacity you’ve narrated in Europe and until you do so…
Sergio Marchionne: Philippe listen to me. The question is now one day when we got time I’ll tell you joke about Harold and the Lord. The thing is why me.
Philippe Houchois - UBS: But others are doing…
Sergio Marchionne: As you start the question, the inherent problem is over capacity in the European context is the first mover disadvantage. The minute that you shutdown you benefit everybody else which is the reason I’ve been calling for coordinated activity across Europe to avoid any single company having to bear the burden of an industry restructuring which is European wide. Okay now you put your bloody finger on the bloody problem again and I'm not the guy who is supposed, is you wont know the opposition come from another country in a very consistent way about this being address. And I'm sitting here as the only Italian, as the only automaker in Italy representing a relatively seeable force across the European context. The recent activity on the Co2 issue and the dominants of the German collision on Brazil tells you exactly where the power sits in running of this business across Europe. We have nothing to say. And I'm not going to be the facilitator of the strengthening of that – of that position out of Germany I will not be the guy. We will not be shutting down plants to facilitate the domination of the European car market for Germany I will not do it. And so we will shift our production capacity in accordance with our premium brand strategy and we will utilize what we have in defense of what we have. But unless Europe stands up and takes this issue and makes it its issue and makes it a European issue the solution is not going to really available and its not going to be available out of itself never.
Philippe Houchois - UBS: Okay thank you.
Operator: That will conclude the question and answer session. I would now like to turn the call back to Marco Auriemma for any additional or closing remarks. Thank you.
Marco Auriemma - Head of Investor Relations: Thank you, Debra. We would like to thank everyone for joining us today. My team and I look forward to following up any further questions that you have. Bye.
Operator: That concludes today’s conference call. Thank you for your participation ladies and gentlemen you may now disconnect.